Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to the Natuzzi Nine Months 2015 Conference Call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. Instructions will be provided at that time for you to queue up for questions. Joining us on today's call from Italy are Natuzzi's Chairman and Chief Executive Officer, Mr. Pasquale Natuzzi; the Chief Financial Officer, Mr. Vittorio Notarpietro; and Francesca Cocco, Investor Relations, Manager. As a reminder today's call is being recorded. I would now like to turn the conference over to Francesca. Please go ahead.
Francesca Cocco: Good morning to our listeners in U.S. and good afternoon to those of you connected from Europe. Welcome to the Natuzzi third quarter and nine months 2015 conference call. After a brief introduction, we'll give room for a Q&A session. Mr. Pasquale Natuzzi together with the management team will be glad to answer to your questions. By now you should have received an email copy of the Natuzzi earnings result. If not, you can find this information within our Web site at www.natuzzi.com or please call our Investor Relations Department at +39 080 882011 to receive the results by email. You can also email information requests or questions to our email address investor_relations@natuzzi.com. We'll respond to you as soon as possible. Before proceeding, we'd like to advise our listeners that our discussion today could contain certain statements that constitute forward-looking statements under the United States security law. Obviously, actual results may differ materially from those in the forward-looking statements because of risks and uncertainties that can affect our results of operations and financial condition. We have discussed such risks and uncertainties, which have in the past affected and may continue to affect our results of operations and financial condition in our Annual Report or Form 20-F for the fiscal year ended December 31, 2014. These reports are available within our Web site www.natuzzi.com or from us upon request. You may also obtain a copy of our Form 20-F filing from the United States Securities and Exchange Commission. And now I'd like to turn the call over to our Chairman and CEO, Mr. Pasquale Natuzzi. Please Mr. Natuzzi.
Pasquale Natuzzi: Thank you. Good morning and good afternoon. After six quarter I would like to remind ladies and gentlemen that after six quarters of continuous improvements in the third quarter 2015 we finally achieved an EBITDA positive of €1.5 million. This one -- I mean we can consider this as really a wonderful time. This has been the main reason, the drivers of this result, has been retail improvement because it seems at the beginning of the year we opened, this year we opened 15 new stores and 90 new galleries. The newly opened store in Hong Kong which is a 10,000 square feet is already performing very-very well I was there a couple of months ago, beautiful stores there, if you've a chance to lookout you would be proud of the job we have done. Recently, we inaugurated a store in Naples, Florida where we already have seven stores in Florida Natuzzi mono-brand stores and we are planning to open another three of those stores in order to create the model for each state of United States of America where we can meet the new investor, new customer and based on market value and market shares that we aim to gain we can make a P&L based on divestment and return on investment which would require to operate -- to cover California for example and also the return that this investor will get from investment, all, in case, I mean probably we would decide also to open on our own. It depends -- this is the certain thing that we are considering very seriously. We completed the DOS chain resonation with the closure of nine of profitable store in Italy, Spain and China and in the meantime we improved the performance of our 56 DOS currently operational worldwide with the same-store sales up by 10.9% in the first nine months of this year. The Private Label offer improved quarter-by-quarter through our golden partners, thanks to our abilities to deliver better quality and better service. We are focusing on private label to support the volume increase in the short-term. The gross margin improvement in the third quarter 2015 to 32.7% compared to 27.9% in 2014 that because of the better productivity and quality improvement related to our production process innovation, the moving line. The better productivity and quality improvements related in Italy the progresses in productivity has been also result of stabilization of our workforce and the discontinuation of workers rotation from May 2015 as per the Trade Union Agreement of March 2015. SG&A costs reduces by €0.5 million in the third quarter 2015 represents 17.3% of net sales versus 18.2% in same period of 2014. The management goals in our agenda now are one, focused on higher sales on Natuzzi brand, leveraging on our brand awareness in light of this we will continue to invest in the organization at all levels mainly in the field of the control distribution retailer in other words. Focus on communication and marketing strategy that must be implemented to support our positioning and our worldwide growth. Finally focus on product to quality which is a crucial along with adequate management on the supply chain and that was the main driver that heads us to achieve this positive goal on the third quarter. Okay I will turn the call over to Vittorio and go more in detail with the numbers and after obviously I will be ready to take your questions. Thank you.
Vittorio Notarpietro: Thank you, Mr. Natuzzi, and good morning to everybody. Let's go through some more detail of the quarter numbers compare with the third quarter 2014. Net sales went up 3.1% as a result of higher upholstery business which were up by 4.4% and slightly decreasing non-core sales. Upholstery net sales were positively affected by foreign exchange rate by 8.4% and mix up 1.1% and negatively affected by volume which means fiscal to minus 5.1%. Particularly significant has been the private label performance, sales went up by 19.8%. Cost of goods sold improved dramatically from last year from 72.1% to 63.3% in this quarter, why, the most significant impact came from the transformation cost. The Company recovered from 2014 and efficiency in China and Italy, thanks I said before by Mr. Natuzzi to innovation and reorganization of the workflow in the production plant. Innovation is and will continue to be the most crucial to recover competitiveness. As you know we're almost stable as a percentage of sales although the Company invested 4.3% of net sales in advertising versus 3.5% in the 2014 third quarter also fixed SG&A expenses went down to 17.3% from 18.2% on net sales. As a result of the actions explained above EBIT was not far from breakeven with the same thing in minus 1.7% this quarter starting from a minus 7% last year. The impact of foreign exchange rate fluctuations on the EBIT has been positive by €2 million in the quarter. EBITDA, this is already said, the key message of this quarter as anticipated by management many quarters ago EBITDA has been positive in the quarter and close to breakeven in the nine months period. We announced this first target and here we're now delivering on time. Let’s see now some more details which are more significant on nine months. I said before the restructuring plan for directly operated source has been completed. The Company closed the unprofitable stores in Italy, Spain, UK and China. Compared to last year results we had better results in Spain and Italy while the sales performance in China has been negatively impacted in the first nine months this year by lower consumption. In October instead we've already seen times of important recovery in that country. So we do confirm the Natuzzi focus and commitment in retail development in China particularly positive has been for example the same-store sales of Italian DOS chain Divani & Divani which goes up by almost 10% in the first nine months with further improvement in October although slow. As far as raw materials are concerned, the most significant item to be underlined is that starting from the second quarter this year price of leather lowered significantly. Due to the six months lead time in the third quarter we started seeing the very first positive effects on our profit and loss. This means that we can foresee better impact in the next quarter. Variable selling expenses passed from the 15.8% to 16.6% as a percentage of net sales. The main reasons are the higher investment in advertising and higher transportation costs incurred, part of which were non-recurring. The announced plan to restructure, SG&A cost continues, thanks to the IT system and better organization, company achieved a net reduction of 2.8 million in the fixed SG&A as a result of €3.7 million labor cost savings partially offset by the cost related to the reinforcement of sales force in USA and China. As of September the 30, 2015 the net working capital has been reduced from 24.7% last year to 20%. Starting from the net financial position at the end of June, 2015 which was negative by €11.1 million we closed this quarter with a positive net financial position of €8.5 million as a result of positive EBITDA in the third quarter and €15 million cash flow from working capital. It has been a long journey and EBITDA is a fundamental achievement as said before but we know very well that it’s just a further step on the continuous improvement process. Thank you.
Francesca Cocco: Now we are ready for questions.
Operator: Thank you. [Operator Instructions] And we will go first to Stefano Rossi of Edmond de Rothschild.
Stefano Rossi: Well good afternoon and first of all congratulations for these results which are really showing a good improvement since I started to follow the company. So I am lucky to let’s say starting to see some positive effects, I know that the company is working very hard since few years to improve these results and make them available to shareholders, so it's good to see these improvements. I have a couple of questions regarding, one, the -- let's say potential level of EBITDA that you have in your imagination, let's say without currency effect. Because if I understand well clearly there is a good improvement of mix but also some positive effect from the dollar which is good, I mean everybody knows that you are strong in America and this very good news. So what would be the normal let's say level -- or let's say the potential of mix improvement in terms of product and the effect at EBITDA level? And the second question I have is regarding net working capital which is also another great achievement obviously a reduction of debt goes to that, what is the normalized level of working capital that you see for your company going forward next few years?
Vittorio Notarpietro: Okay this is Vittorio. EBITDA level, I’ll start from saying that we are now planning the business plan that will be ready in the next month and EBITDA will be the result of many factors, what I can say today before factoring the job is that the cost of goods sold that we had in the past with the existing let's say distribution was in the area of 40%, and this is an improvement of some points -- important point, the target of 40% is something that probably is the first that we have in mind. According to those -- to that target of 40% cost of goods sold you can make your calculation. As per as working capital the improvement we had is quite substantial, if particularly better than the average of the recent years which has been above 20% so I don’t foresee with today supply chain structure any particular further improvement in the working capital. We will see in the future as soon as we should decide to change the production fraction of the company, if we can achieve an even lower working capital. Was I’m clear Mr. Rossi?
Stefano Rossi : Yes, yes, yes, I see your point, and I have another question for Pasquale Natuzzi more on a strategic level, I remember last call, with this that you see, when you said that you see your company more and more as your own brand and less and less as a producer for others. And we start to see some of these results in this quarter perhaps, what is let's say due regarding next year in terms of order flow, how do you see the company developing in your private label space and going forward next year?
Pasquale Natuzzi: As we explained on our press release, the management now is focusing on how we can increase the volume, because yes the contribution margin on private label, it's lower than obviously Natuzzi brand but it's much -- but with the private label targeting a bigger customer that they generate the user volume, it's much easy to gain €20 million or €30 million growth and even with lower margin certainly helps the total balance sheet to be positive. So, so far we are focusing primarily on the private label but certainly we are getting more and more organized on the retailer division. So, for next year we are very much confident to see a growth improvement. Unless that something -- I mean you never know what up and look at France, look at Middle East, I mean we are in the middle of a concerning situation, but again the fact that we manufacture in China, in Romania, in Italy, in Brazil, we export -- we do less than 10% in Italy and then we are well distributing around the world make us feel confident about the future certainly. So, we see all improvement that would -- that's what sincerely we feel as a manager for the company, we will see just improvement, hello?
Stefano Rossi: I'm very happy to hear your optimism and to see substantial improvement in result, because clearly in a turnaround situation, obviously you need to have this ability in the short term that keeps going on the momentum behind the management and I mean as a shareholder I can tell you that I'm happy to see some of these movement being visible.
Pasquale Natuzzi: Thank you, I appreciate that I mean the turnaround process is starting to give us some positive result, but we expect more and more.
Stefano Rossi: Is there any in the sales of the previous quarter, is there any special trend in terms of products that are important to high side, meaning perhaps the Re-Vive, how is it going in terms of sales, what is the?
Pasquale Natuzzi: Re-Vive, we didn't -- Re-Vive it's obviously it's a product particularly, it's a recliner chair and today it is the top seller in our product line. So, Re-Vive is performing very well, the bed -- new collection that we introduced 18 months ago. It's performing more and more month-by-month. I mean we're very much confident, I mean new product introduction are giving us the result that we were expecting.
Stefano Rossi: These were the products that you presented last year at Salone del Mobile or in other let's say fairs that are happening in the United States?
Pasquale Natuzzi: I mean the new -- talking about Re-Vive, the introduction was made let's say two years ago, okay, in October -- that was October 2013, sure in two years time we've been able to develop some around $10 million business that should be the result of Re-Vive this year. Regarding the bed, the collection, introduction was made at in April 2014, so and in 18 months we should say that we are performing more than what we were expecting.
Operator: [Operator Instructions] And it appears there are no further questions. At this time, I would now like to turn the call back over to today's speakers for any additional or closing remarks.
Pasquale Natuzzi: All right, okay. Thank you very much for attending our conference call and we wait for next one and deliver it to you a good news thank you. Thank you very much to everyone, thanks.
Operator: This does conclude today’s conference. We thank you for your participation. You may now disconnect.